Operator: Thank you for standing by and welcome to the Lightbridge Corporation Business Update and Fiscal Year 2020 Conference Call. Please note that today’s call is being recorded. It is now my pleasure to introduce Matthew Abenante, Director of Investor Relations for Lightbridge Corporation. Please go ahead, sir.
Matthew Abenante: Thank you, Sarah and thanks to all of you for joining us today. The company’s earnings press release was distributed after the market closed yesterday and could be viewed on the Investor Relations page of the Lightbridge website at www.ltbridge.com. Joining us on the call today is Seth Grae, Chief Executive Officer, along with Larry Goldman, Chief Financial Officer; Sherrie Holloway, Accounting Manager; Andrey Mushakov, Executive Vice President for Nuclear Operations; and Jim Fornof, Vice President for Nuclear Program Management. I would like to remind our listeners that any statements on this call that are not historical facts are forward-looking statements. Today’s presentation includes forward-looking statements about the company’s competitive position and product and service offerings. During today’s call, words such as expect, anticipate, believe and intend will be used in our discussion of goals or events in the future. This presentation is based on current expectations and involves certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail in Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements, whether as a result of new developments or otherwise. And with that, I would like to turn the call over to our first speaker, Seth Grae, Chief Executive Officer of Lightbridge. Hello, Seth.
Seth Grae: And hello and thank you very much, Matt. Thank all of you for joining us. Despite the challenges of the past year because of the COVID-19 pandemic, I am pleased to report that Lightbridge is continuing to make progress on our fuel development initiatives, while taking steps to ensure that we have the necessary resources to dedicate to these efforts. At the same time, based on current industry developments, 2021 could be a breakout year for advanced nuclear technologies. In fact, President Biden’s energy platform includes advanced nuclear as part of what he has referred to as critical clean energy technologies. The administration has recognized nuclear power as part of the transition away from fossil fuels. Today, Lightbridge achieved a significant milestone as we secured our second funding award from the U.S. Department of Energy, a voucher from DOE’s Gateway for Accelerated Innovation in Nuclear, or GAIN program, to support development of Lightbridge fuel in collaboration with Pacific Northwest National Laboratory in Richland, Washington. The scope of this project is to demonstrate Lightbridge’s nuclear fuel testing process using depleted uranium, a key step in the manufacture of our fuel. The total value of the project is approximately $664,000, with three quarters of this amount funded by DOE. The next step will be to sign a CRADA agreement relating to the project. From there, Lightbridge will work with Pacific Northwest National Laboratory on the process of casting depleted uranium zirconium ingots that will be submitted to a battery of testing and analysis. We expect the project will begin later in the first half of 2021. This new GAIN Voucher is part of our focus to partner more closely with the U.S. government. Earlier this week, we announced our settlement agreement with Framatome that dissolves our Enfission joint venture in its entirety and terminates all agreements associated with the JV. Under the terms of the agreement, Lightbridge has paid Framatome approximately $4.2 million for outstanding invoices for work performed and other expenses that were incurred by Framatome, which destroyed all documents and content related to Lightbridge’s intellectual property. The settlement agreement allows Lightbridge to pursue the numerous emerging opportunities in the nuclear sector, such as our new GAIN Voucher, completely unencumbered by any constraints, while securing all our pre-existing intellectual property rights without restrictions. Importantly, we will avoid the significant multimillion-dollar costs of ongoing arbitration proceedings in Switzerland, along with the litigation in Delaware that our attorney is expected to continue for at least another year. By reaching this settlement, we are eliminating any uncertainty of the outcome of international arbitration. I believe, along with our Board of Directors, that this settlement agreement is the best result for all sides. Turning to our ongoing efforts at Idaho National Laboratory, under our first funding voucher from DOE, we are designing an experiment for testing our fuel samples in the Advanced Test Reactor at Idaho National Lab. Our initial understanding was that we would have full access to a government-funded pressurized water reactor test loop in the advanced test reactor to generate sufficient data to support our lead test assembly testing and eliminate the need for lead test rod testing in a large commercial reactor. However, while the Advanced Test Reactor has enough space for four of these loops, where fuel rods can be irradiated, the reactor currently has only one such loop that is shared with our experiments, which limits how much fuel rod material we can get in the reactor and its duration in the reactor. We understand that Idaho National Lab would be willing to add up to all 3 additional loops at a cost of about $10 million to $15 million each. We have determined such capital investment to be an unmanageable cost for Lightbridge. We plan to work with the government and industry to have these loops added without Lightbridge paying for them. We believe we have strong arguments for the U.S. government to pay most of the cost for these new loops. The foundation of our fuel development efforts is to position Lightbridge Fuel and our company as essential for the world to meet climate goals. As such, we have viewed the existing large pressurized water reactors as our initial market, because these reactors represent a large market segment for which Lightbridge Fuel could provide significant economic and safety benefits. There are approximately 400 reactors worldwide that average about 1,000 megawatts of electricity generation each. We calculate that to produce with nuclear power, all the clean energy that the world will need in 2050, which is the seminal year for climate change according to the IPCC, would take the equivalent of about an additional 20,000 reactors, generating about 1,000 megawatts of electricity each. Realistically, that is not going to happen. At most, we anticipate a net increase of 200 large reactors will be built by then, with most of them deployed by China and Russia, and more difficult for Lightbridge to reach commercially. While these large reactors present a market opportunity for Lightbridge, one that we will continue to pursue, it’s clear that these reactors will not have a meaningful effect on climate change. Instead, we are recognizing the emerging technology in small modular reactors, or SMRs, that are now in development and licensing. They have the potential collectively to generate massive amounts of power, with the versatility to deliver upon climate goals. We believe that Lightbridge Fuel can provide SMRs all the benefits that our technology brings to large reactors, but with a more significant and meaningful economic case for deploying SMRs, including greater power up rates up to 30% increase in power output with Lightbridge Fuel and added economic benefits from the safety enhancements that we would bring. We expect Lightbridge Fuel to generate more power that will help decarbonize certain sectors by powering them with electricity and produce hydrogen for liquid non-carbon fuels for use in hard-to-decarbonized sectors, such as aviation and shipping. Our ongoing R&D initiatives are entirely compatible with Lightbridge Fuel powering SMRs for multiple purposes, which are already included in our existing patents and trade secrets. We believe what we are seeing is part of an overall shift in focus in government and the private sector from large pressurized water reactors to SMRs and advanced technologies. This shift in focus is, at least, partly driven by the need to prevent catastrophic climate change. We understand that the Biden administration will prioritize advanced nuclear technologies, including advanced fuels and SMRs as part of its nuclear energy policy. President Biden has brought the U.S. back into the Paris agreement on climate change, with the goal that the U.S. electricity sector be carbon-neutral by 2035, just 14 years from now. We believe that powering SMRs with Lightbridge Fuel can enhance the already strong case for SMRs and attract more private and government investment. Recently, the U.S. and Russia extended the New START Treaty for an additional 5 years. The New START Treaty will prevent an increase in the number of certain types of nuclear weapons in the U.S. and Russian arsenals. We understand that the Biden administration will seek to use this opportunity to enter into negotiations with Russia and perhaps China, to reduce the number of weapons and eliminate plutonium from the weapons that would be dismantled, making it harder to replace the weapons in the future. While there would still be careful analysis ahead of us, we believe that a zirconium-plutonium version of Lightbridge Fuel could be an ideal solution in disposing of the plutonium from weapons using it to generate energy. In addition, the United Kingdom and Japan have large quantities of separated reactor grade plutonium from reprocessing spent fuel from power reactors. Both countries are interested in exploring how best to explore and how to dispose of that plutonium. We believe our technology can be used for this purpose. Our patent portfolio includes zirconium-plutonium fuel. We will explore these opportunities over the coming months for potential government interest and funding support. And with that, I will turn the call over to Andrey Mushakov, Executive VP for Nuclear Operations, who will review our near-term research and development opportunities. Andrey?
Andrey Mushakov: Thank you, Seth. As Seth mentioned, this afternoon, we were informed by the U.S. Department of Energy GAIN office that Lightbridge was the winner of our second GAIN Voucher. Our second GAIN Voucher is with the Pacific Northwest National Laboratory, or PNNL. The scope of this voucher is to demonstrate our fuel casting process using depleted uranium in a 50% weight alloy with zirconium. This is a key step in the fabrication process of our fuel and it also feeds into our needs for fabrication of irradiation fuel samples in the Advanced Test Reactor at Idaho National Laboratory. We expect to begin the contracting phase of the project with PNNL as soon as possible. The timeline for this new project is approximately 12 months and is expected to commence in the first half of this year. The total project value is approximately $664,000, with three quarters of this amount funded by the U.S. Department of Energy for the scope performed by PNNL. Work is also progressing well on our first GAIN Voucher, with the objective to design a radiation test of the Lightbridge uranium-zirconium fuel alloy. As part of the GAIN project, we plan to benefit from new U.S. government support for advanced nuclear technology. Together with Idaho National Laboratory, we are exploring the application of Idaho National Laboratory’s Fission Accelerated Steady-state Testing, or FAST, methodology to this experiment as a means of reducing the time and cost to achieve high burn up in the fuel material. Although the COVID-19 pandemic has disrupted the normal play of working for many American companies, Lightbridge and Idaho National Laboratory have maintained frequent communication to minimize the adverse impact on our project. We anticipate several months delay in the completion of the experiment design, but we do not expect a delay in the insertion and the radiation testing of the samples. We believe demonstrating success on this initial project will position us well to seek further DOE funding opportunities and additional government support, which can further accelerate the development of our advanced fuel technology. In parallel with our efforts, under the GAIN Voucher, we expect to produce sample coupons for the in-reactor experiment. Our goal is to have these sample coupons available for insertion in the Advanced Test Reactor as soon as in 2023 and a couple of years from now, after its planned maintenance outage is completed. The second GAIN Voucher award we have just announced will support this objective. The actual experiment insertion data is subject to the final duration of the outage, the availability of testing positions in the reactor, and the Idaho National Laboratory’s prior commitments for testing. Once the acquired field burn up is achieved in the reactor, we plan to perform post-radiation [indiscernible] of the coupons, which will provide data on the properties of the fuel material. Separately, we plan to demonstrate this year the manufacturing processes for the three low variants of our uranium-zirconium fuel technology for using certain small modular reactors, or SMRs, by producing several SMR lengths prototype fuel rods with surrogate materials. We will provide further update on this effort in the coming months as we make progress. As we look ahead, DOE and the U.S. National Labs have demonstrated significant progress in the area of accelerating fuel qualification, including developing methods to perform radiation tests more quickly than ever before and in the development and use of advanced modeling and simulation capabilities, which enable faster validation of advanced technologies. We believe both areas can be beneficial to accelerating the demonstration of Lightbridge’s fuel technologies and will continue to work toward that end. With that, I will turn it back to you, Seth.
Seth Grae: Thank you very much, Andrey. And with that, we will turn the call over to Larry Goldman, Chief Financial Officer, to summarize the company’s financial results. Larry?
Larry Goldman: Thank you, Seth and good afternoon everyone. For further information regarding our fiscal year 2020 financial results and disclosures, please refer to our earnings release that we filed at the close of market yesterday and our Form 10-K that we will file with the SEC later today. The company maintained a strong working capital position at December 31, 2020. As of December 31, 2020, we had $21.5 million of cash and cash equivalents compared to $18 million at December 31, 2019. We had working capital of $17.1 million at December 31, 2020, as compared to $18.1 million at December 31, 2019, with no debt financing. Total assets, was a $21.8 million and total liabilities were $4.6 million at December 31, 2020. Total cash use and operating activities increased by approximately $1.9 million for the fiscal year 2020 compared to fiscal year 2019, primarily due to an increase in G&A expenses relating to our arbitration matter, offset by a decrease in our R&D expenses as we no longer conduct our R&D activities in Enfission as we did in 2019 since we transitioned our R&D work to the U.S. National Labs in 2020. Cash used in investing activities decreased by approximately $3.6 million for the year ended December 31, 2020, compared to 2019, due to us terminating our equity contributions into the Enfission joint venture in 2019. Cash provided by financing activities increased by approximately $8.6 to $12.4 million for fiscal 2020 compared to $3.8 million for fiscal 2019. The increase was primarily due to an increase in the net proceeds from the issuance of our common stock, which resulted from the sale of approximately 3.3 million shares of common stock for net proceeds of $12.3 million for the year ended December 31, 2020. Before I hand the call over to Sherrie Holloway, our Accounting Manager, I would like to add that as a result of certain triggering events regarding our intangible asset, patent costs, that we recorded an impairment loss provision on the total carrying value of our patent costs. Total impairment loss and patent write-off was $1.2 million recorded in the fourth quarter of 2020. There was no patent impairment loss provision in 2019. Due to the COVID-19 pandemic, we took the necessary steps in fiscal year 2020 to reduce our corporate overhead expense, and we anticipate preserving our cash runway into calendar year 2022. As noted, we received the GAIN Voucher from the DOE today, and we will continue to strive to obtain additional DOE funding in the future, with the primary goal of furthering our fuel development in the most cost-efficient manner for our shareholders to support our future financing requirements with respect to our nuclear fuel development. I will now turn the call over to Sherrie Holloway, our Accounting Manager, who will go over our P&L financial information for fiscal 2020.
Sherrie Holloway: Thank you, Larry. Net loss for the fiscal year 2020 was $14.4 million compared to $10.7 million for fiscal year 2019, primarily due to these factors. Total R&D expenses were $0.9 million in fiscal year 2020 compared to $2.7 million in fiscal year 2019. This decrease was primarily due to transitioning our R&D work from our joint venture to developing our new fuel development strategy by now working with the U.S. National Labs. R&D expenses consist primarily of employee compensation and related fringe benefits and other allocable costs related to the research and development of our fuel. G&A expenses for the year ended December 31, 2020, were $8.3 million compared to $5.8 million for the year ended December 31, 2019, primarily due to an increase in professional fees of approximately $1.7 million due to the legal fees incurred related to the arbitration and a net increase in employee compensation and employee benefits of approximately $1.2 million. These increases were offset by a decrease in travel, promotional and various administrative expenses of approximately $0.4 million, partially due to COVID-19. On February 11, 2021, the company entered into a settlement agreement with our former JV partner, Enfission, and agreed to pay approximately $4.2 million in legal settlement costs. These amounts were recorded in operating expenses as legal settlement costs for the year ended December 31, 2020. There was a net other operating gain of $0.1 million for the year ended December 31, 2020, compared to a $2.6 million net operating loss for the year ended December 31, 2019. This $2.7 million change was due to a net decrease in the equity loss from the Enfission joint venture of $2.6 million and an increase in grant income from the GAIN Voucher of approximately $0.1 million for the year ended December 31, 2020. Now over to you, Seth.
Seth Grae: Well, thank you very much, Sherrie. And with that, we’ll go on to the question-and-answer session. Thank you to everyone who has submitted questions, and I’ll turn it over to Matt Abenante, our Director of Investor Relations. Matt?
A - Matthew Abenante: Thank you, Seth. Our first question, what brought about the shift in focus from the existing fleet of reactors to small module reactors, which are still on the drawing board? And then as a follow-up, why would testing Lightbridge Fuel without any operational history? And a totally new breed of light water reactor or small module reactor be an easier regulation gauntlet than testing in the history-rich existing fleet of reactors?
Seth Grae: Okay. Well, first, let me assure you that we’re not abandoning the existing light water reactors in our strategy. They continue to be an important target market for us, but we see opportunities relating to government and the private sector shifting resources to the small modular reactors, SMRs. The work we are doing now is applicable for fuel for large reactors and for the shorter length versions of fuels for SMRs. While regulatory issues continue to be a significant gauntlet, as mentioned in the question in our long-term planning, there are other important hurdles that we need to overcome before focusing on regulatory licensing. We believe we can benefit from DOE’s focus on SMRs and other advanced reactor designs, in order to accelerate our shorter term development requirements, including in-reactor testing and fabrication processes. Also, the Nuclear Regulatory Commission is engaged with advanced reactor developers to streamline and modernize the regulatory requirements for these designs. It’s under what’s called Part 53 of the NRC’s regulations. These include the exploration of the accelerated fuels qualification initiative. That’s something you’ll hear about again from Lightbridge many times, I’m sure, the accelerated fuels qualification initiative which – it leverages computational techniques in conjunction with more traditional in-reactor qualification programs. We believe the accelerated fuels qualification initiative will be applicable to licensing our fuel. We believe that focusing early on advanced reactor developments, specifically the light water reactors, small modular reactors, with that, we can make faster progress toward ultimately addressing both SMR designs as well as existing large light water reactors. Back to you, Matt.
Matthew Abenante: Our next question, with Lightbridge now adding a focus on small modular reactors and with the joint venture settlement complete, will Lightbridge now seek partnerships with other companies?
Seth Grae: Well, we’re focusing on performing well under our work with the U.S. government and its national laboratories and on expanding our cooperation with the government. Lightbridge continues to be open to collaboration with potential partners in the advanced reactor and SMR areas as well as the more traditional light water reactor fuel vendors. We’re beginning to reach out to certain firms regarding our promising new fuel technologies. Back to you, Matt. Okay, Matt, you might be on mute.
Matthew Abenante: Sorry about that. This is – next question is regarding the second GAIN Voucher award. Can you provide any color on time lines? And how this award differs from your current work at Idaho National Lab?
Seth Grae: Yes. Yes, happy to do that, but we’ll turn it over to Jim Fornof, who has really been running this issue for Lightbridge and congratulations, Jim, to the whole team today and over to you.
Jim Fornof: Well, thank you, Seth, and it really was a team effort to get this award. So thanks to everybody that pitched in. As Andrey mentioned, our second GAIN Voucher is with PNNL, or the Pacific Northwest National Laboratory. PNNL is uniquely qualified, and that they have capabilities for high-temperature vacuum, melting and casting of our fuel alloy, which is 50-50 weight alloy of zirconium and uranium. In this experiment or this demonstration we’ll be using a depleted uranium source to minimize on the radiological cost of the experiment. So it’s a demonstration using the depleted uranium of the casting process. We expect this to start as soon as we can finish the contracting phase, and we will jump on that just as soon as possible with the lab. And we expect that this will be about a 12-month project starting sometime in the first half of this year. With – in regard to how this compares to our initial GAIN Voucher with INL, the Idaho National Lab, that initial project was for the design of an experiment to irradiate our fuel material in a coupon sample, and progressing well on that. We are just about to complete the conceptual design and move into the detailed design phase, and it’s expected to wrap up sometime around the end of the third quarter of this year. And how these two projects relay to each other is that they dovetail with the fabrication of the fuel coupon samples themselves. So we will use this similar casting and extrusion process that we’re demonstrating with PNNL as we make coupon samples for radiation in the advanced test reactor at INL. I’ll turn it back over to you, Matt, for additional questions.
Matthew Abenante: Thank you. We have had actually a number of questions related to nuclear fuel recycling, especially related to the use of recycled plutonium. Can you elaborate on this?
Seth Grae: Yes. Yes. And as I mentioned, that is an area that we are starting to focus on and reach out to government on. And for the answer, I’ll turn that over to you, Andrey.
Andrey Mushakov: Thank you, Seth. We believe that Lightbridge Fuel can be recycled using existing reprocessing technologies as well as new advanced technologies that have been developed currently by the U.S. National Laboratories, including a technology called pyroprocessing. However, today, in the United States, reprocessing has not been performed. U.S. nuclear power plants instead are relying on dry cask storage on site. So once the fuel is removed from the reactor, they put it in a dry cask storage facility where the reactors are located and stored there for many, many years, once they get it out of spent fuel pools out of that storage. Ultimately, the U.S. Department of Energy and the U.S. laws is responsible for taking those spent fuel assemblies from dry cask storage facilities, from each of U.S. nuclear power plants and basically storing it or disposing of that spent fuel in a permanent fashion. But so far, as you know, Yucca Mountain was the selected facility for permanent storage that ran into some funding issues. And right now, it’s been put on hold. Lightbridge Fuel has the potential to dispose of recycle plutonium as well as plutonium from dismantled nuclear weapons or weapon stockpiles, eliminating such plutonium material while producing energy. In addition to recovering a vast amount of unused energy that is embedded in that plutonium material, this would offer the additional benefit of reducing the weapons pool operation concerns, inherent with such plutonium material. We believe that the high burn up nature of our fuel makes it a good candidate for incorporating plutonium as well as minimizing pool operation concerns. So with that, I’ll turn it back to you, Matt, for any additional questions.
Matthew Abenante: Thank you, Andrey. Our last question, can you comment on the proposed change in the European Union taxonomy? And how it might affect Lightbridge and nuclear, in general?
Seth Grae: The fact that someone is asking that question shows that what’s happening in Europe is affecting investors in America and other places, or a European investor who might be calling into or following an American call. The purpose of the proposed European taxonomy is to steer investment into low carbon projects. I think it’s essential that the European taxonomy treat nuclear as the sustainable carbon-free energy source that it is. Anything less would make it even more difficult to achieve climate goals. Other regions and countries sometimes model their approaches on what the European Union does. Europe failing to treat nuclear, as being sustainable, would end up hurting nuclear inside and outside Europe, some investors looking for sustainable investments would turn away from nuclear, if a taxonomy does not treat it as being sustainable. At the Nuclear Energy Institute and elsewhere, Lightbridge is joining efforts to help position nuclear as being essential for countries to achieve climate goals and reach out to people who can have influence on these issues in Europe. Fortunately, in the last few days, according to news reports, 7 EU member states, including Poland and France, have signed a letter to the European Commission, stating that nuclear should be on a level footing with other low carbon technologies. I believe Germany is leading the effort against nuclear. Fortunately, I think it’s looking more likely that Germany’s position won’t prevail.
Seth Grae: And if that’s the last question, Matt, I will say thank you to everybody who has participated on today’s call, thank you also for the Lightbridge team listening in, a good day, showing the results of your work on the GAIN Voucher. We look forward to providing additional updates in the near future. In the meantime, we can be reached at ir@ltbridge.com, stay safe and well. Goodbye.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.